Operator: Good morning, ladies and gentlemen, and welcome to Gol Linhas AÃ©reas Conference Call to discuss the Third Quarter 2025 Results. This event is being broadcast via Zoom and can be accessed on the company's website in www.voegol.com.br/ri. We inform you that all participants will only be watching the event during the presentation. Before proceeding, I would like to emphasize that the forward-looking statements are based on the beliefs and assumptions of the company's management and the current information available to GOL. These statements may involve risks and uncertainties as they relate to future events and therefore, depends on circumstances that may or may not occur in the future. All listeners should consider that events related to the macroeconomic scenario, the environment, the segment and other factors could cause results to differ materially from those expressed in the respective forward-looking statements. I will now give the floor to Mr. Adrian Neuhauser, CEO of ABRA Group. Please, Mr. Adrian, the floor is yours.
Adrian Neuhauser: Good morning, everyone, and thank you for joining us for GOL's third quarter 2025 results. I'm Adrian Neuhauser, CEO of ABRA Group, and I'm tremendously pleased to be here as GOL delivers its first full quarter results after emerging from Chapter 11. Since completing the Chapter 11 bankruptcy process in June, GOL has been relentlessly focused on executing on its plan. The airline is flying a more robust, more efficient network with an optimized fleet plan and a streamlined cost base. This quarter's performance underscores that path, healthy top line, expanding margins and faster deleveraging than originally projected, the result of disciplined commercial execution, rigorous cost management and above all, a relentless focus on running a safe, reliable operation for our customers every day. At ABRA, we have doubled down on GOL's future. We renewed our commitment, increased our investment and became GOL's controlling shareholder, a vote of confidence in Brazil, in the company and its management team in all of its employees and in GOL's multiyear plan. With ABRA as a strategic enabler, unlocking scale, best practices and smarter capital allocation, we believe that GOL is well positioned to continue growing profitably and creating long-term value. Manuel Irarrazaval, ABRA's CFO, who is also on this call, and the broader ABRA team are fully engaged in supporting GOL in this next phase. I will now pass the floor to Celso Ferrer, CEO of GOL; and Julien Imbert, GOL's CFO, to walk you through the third quarter results in detail. Thank you again for being with us today. Please, Celso, go ahead.
Celso Ferrer: Thank you, Adrian, and good morning, everyone. Thank you for joining us today for the GOL third quarter '25 results presentation. I'm pleased to present our performance and achievements for this quarter. Let's move to the highlights on next page. On capacity and fleet, we closed the quarter with 143 aircraft, and our operational fleet reached 120 passenger aircraft, lifting efficiency and productivity. On customer, consistency remains a clear differentiator. We are the on-time performance leader in Brazil, which supports loyalty and our commercial strategy. On business units, both Smiles and GOLLOG delivered contribution margin expansion across the whole bench of products they have, reflecting disciplined pricing, capacity allocation and cost control. That generates sustainable results. The earnings quality is translating to the balance sheet, accelerated deleveraging alongside a sustainable increase on EBITDA. We have a more efficient fleet, best-class punctuality, broader margin expansion across the portfolio and a stronger balance sheet. Let's move to next page, where we can see the key figures representing our path to sustainable performance. Starting with capacity. Total ASKs grew 8.9% with a strong 34.5% in the international markets. We added supply where the demand is and where the yields justify it. Revenue more than followed. Net revenue was up 11.6%. Quality shows in the unit revenue metrics. Our RASK grew 2.5% and our PRASK grew 3.2%. Earnings reflected that discipline. Adjusted EBITDA reached BRL 1.6 billion in the third quarter '25, an incredible increase of 46% versus last year. Margin also expanded to 29.7%, 7 points year-over-year, and it strengthened our balance sheet. Net leverage fell to 3.2x, down 2.1 turns year-over-year. Less debt per unit earns more resilience through the cycle. We have capacity on track with quality, sustainable price, expanded margin and deleverage. That's the trajectory we intend to maintain. Now I invite Julien Imbert, GOL's CFO, to take the floor.
Julien Pascal Imbert: Hello, everyone. Thank you, Celso, and all the team. I'd like to start the presentation by moving to the next slide on operational performance, focusing on capacity and fleet. We brought 13 aircraft back year-over-year, closing the quarter with an operational fleet of 120 aircraft. So with more airplanes flying, we offered increasing capacity of 8.9% versus the third quarter of 2024. And the mix matters, if you look at international ASK, we grew about 34.5%, which is in line with our strategy to scale profitable international routes. Crucially, we placed that capacity intelligently. Our load factor increased by 0.8 percentage points, reaching 84.1%. So even with the larger seat supply. So it evidence healthy demand and better scheduling. On year-to-date, we're also increasing our aircraft capacity, our ASK capacity 13% and our load factor is in line with what we're seeing in the third quarter. Moving on to the next slide on operational performance and the quality of our operation. Three messages. one, broader network; second, best-in-class punctuality; and three, a stronger brand. Network reach. We operated 82 airports with our own fleet in the third quarter of 2025. This is our largest third quarter footprint in the whole history of GOL. We added 4 new routes and also 150 domestic and 43 international routes, excluding codeshares. On reliability, we've been Brazil's on-time performance leader for 8 months in 2025 and the top 3 on-time airline in Latin America. Our 15 days on-time performance has hovered around 90% from 85.6% in April to 89.8% in September and with 90.5% in May, showing consistency even as we expanded the network. On brand strength, GOL was recognized as the Top of Mind Airline in Brazil for the ninth consecutive year, reinforcing loyalty and pricing power. We are flying to more places, arriving on time and strengthening a brand that customers choose first. Now moving on to the next slide on operating results, focusing on revenue. The story is disciplined with stronger unit metrics. Even with an 8.9% capacity increase versus the third quarter of 2024, our PRASK rose 3.2% and our RASK was up 2.6%, reaching BRL 0.441. The drivers behind that growth were solid passenger trends and higher ancillary revenues. Year-to-date, the momentum holds. RASK is up 4% and PRASK reached BRL 0.401 from BRL 0.385 the same period last year. So this translates into top line. Total revenue grew by 11.6% in the quarter at BRL 5.5 billion versus BRL 5 billion in 2024. And if you look at the number year-to-date, top line growth revenue at 17.6%, reaching BRL 16 billion versus BRL 13.6 billion in 2024. Importantly, yield has increased 2.5% (sic) [ 2.1% ] year-over-year, underscoring the sustainable revenue strategy we've been executing. So we can see more capacity, better pricing, rising ancillaries, delivering double-digit revenue growth. On the next slide, we'll focus on one of our business units, GOLLOG. Our cargo business posted double-digit growth year-over-year with revenue rising 15.7% to BRL 376 million. The drivers behind the growth, we added 3 dedicated freighters versus last year, bringing the fleet to 9 dedicated freighters. We deepened the Mercado Livre partnership, and we executed a targeted logistics strategy in key lanes. That combination lifted throughput and monetization across the network. So we can say that we have a more dedicated capacity, a stronger e-commerce partnership and smart routing translated into more volume and a 16% step-up in cargo revenue versus last year. On the next slide, we continue talking about our business units, focusing on our loyalty program, Smiles. We have more than 29 million Smiles members, out of which 1.2 million are Clube Smiles members. The number of Clube Smiles rose almost 1% year-over-year with 1.2 million members, focusing on a higher quality and stickier card . You can also see the engagement with redemption activity that has accelerated. Transactions rose 10.4% from 2.6 million to 2.8 million, reflecting healthy earn and burn dynamic and better inventory availability. I'd like also to talk about our co-branded credit card portfolio. We have 3 issuers working with Smiles who offer exclusive benefits, including VIP lounge access at our hubs in Guarulhos and Galeao, which are driving both acquisition and spend. Smiles customers can earn miles with more than 100 partners, so expanding earning velocity and deepening engagement beyond the flight. And those numbers show a steady subscriber base with faster redemption, a richer co-brand offering and a broad partner network that feeds loyalty and revenue quality. Moving on to the next slide on operating results, focusing on cost. Our CASK for the third quarter 2025 was at BRL 0.372, a decrease of 0.5% versus our CASK in the third quarter of 2024. CASK fuel was down 11.6%, thanks to lower jet fuel prices and better FX in Brazil, while our CASK ex-fuel was increasing 4.7% in the period. This was mainly explained by higher lending and navigation fees as we expanded over the network and also higher depreciation tied to the fleet recovery investment. Now moving on to the next slide on our EBITDA and margin results. Our EBITDA for the third quarter of 2025 reached BRL 1.6 billion, up BRL 516 million versus the third quarter of 2024, but also an increase of BRL 510 million compared to the second quarter of 2025, an increase of more than 45% quarter-over-quarter. The margin for the third quarter of 2025 reached 29.7%, an increase of 7 percentage points versus the same period last year. Year-to-date, our revenue reached BRL 4.3 billion, up BRL 1.2 billion versus the same period last year, and our margin is reaching 27% year-to-date, an increase of 4.1 percentage points versus the same period last year. So this shows the result of our strong strategy in terms of growing revenue and growing capacity domestically and in particular internationally, while we have tight cost management and discipline. Notably, this is our highest EBITDA margin for a third quarter since pre-pandemic, and it shows the consistency and the strength of our plan. Now moving on to the next slide on liquidity and net leverage. As you can see, we continue to reduce our net leverage from 3.7x in the last quarter, we reached 3.2x in the third quarter of 2025, which is much better than our plan and continue to show the improvement and the strength to reduce net leverage. Notably, if you would exclude the debt that we have with the ABRA Group of around $850 million, our net leverage would be around 2.5x. On liquidity, we continue to have a very strong liquidity position, reaching BRL 5.4 billion, which is around 25% of our last 12-month revenues. So this is a very strong third quarter 2025 for GOL, delivering on our plan on all key dimensions from capacity to PRASK to cost to EBITDA to net leverage and cash position. We are delivering consistently with discipline and executing our plan. With that, I'll turn the floor back to you, Celso.
Celso Ferrer: Thank you, Julien. Now that we've gone through everything that happened this quarter, all these results prove that GOL is completely positioned to win. We are growing with quality, ASK growth, but also revenue unit growth. We are adding capacity where we are strong and where the demand is solid. The balance sheet keeps improving. Net leverage at 3.2x and liquidity of BRL 5.4 billion give us flexibility to fund growth and manage seasonality. We are the on-time performance leader in Brazil and the Top of Mind Airline, reinforcing loyalty and our strong brand. Before we move to the Q&A, I want to close this earnings call by thanking our team of Eagles who deliver what really matters in this business, safe and reliable flying while keeping the operational running with discipline and consistency. To our flight ops, pilots, cabin crew, maintenance, support teams, thank you for protecting safety while executing our day-by-day operation. My thanks also to our customers, lessors, suppliers and financial partners and especially to ABRA, who stood shoulder to shoulder with us and was essential to this outcome. Our core business is clear, operate every flight safely on time and efficiently. That's how we got here, and that's how we will keep moving forward. Thank you.
Operator: [Operator Instructions] Our first question comes from Guilherme Mendes from JPMorgan.
Guilherme Mendes: I have 2 questions. The first one is taking into account the third quarter was better than expected, and congrats, by the way, is it fair to assume that we could expect an upside to the plan that you guys provided upon the emergence of the Chapter 11? And the second point is on the maintenance cost, which seems the one with the best performance on a year-over-year basis during the third quarter. Just wanted to understand if this is the recurring level going forward, so a similar level that we can expect for the fourth quarter and onwards or there is some kind of one-off into it?
Celso Ferrer: Thanks, Guilherme. It's Celso here, and thank you for -- I mean, start this call with us. We have -- as you said, the third quarter results came ahead of our expectations, our plan. I think it's a result of a very solid demand and a great execution by our team here. And we also published a new projections for the year now. So we gave the range of BRL 5.8 billion to BRL 6.1 billion EBITDA, also net leverage in low numbers, also with a range of 3.4x and 3.6x, reflecting the continuation of this performance to the end of the year. Of course, more we are following and we are planning next year still with the numbers we have very close to our plan that we -- you know when we made -- when we exit from Chapter 11. So everything fine. No big changes so far. The execution is better, but nothing that would change completely our strategy. We are doing a little bit more domestic than international and always using the flexibility we have in our model, in our fleet. So for the maintenance, I will have Julien also asking your second question here.
Julien Pascal Imbert: Guilherme, this is Julien. Thanks for joining the call today. Very nice having you here. And so on maintenance, yes, you can see on the quarter, we have a slightly lower maintenance versus the third quarter of 2024. If you look at the full year picture, 9-month picture, we have a bit higher maintenance cost versus last year. Some of it will be because we're putting back a lot of aircraft this year. So this is a particular year of investing in the fleet to get it back online. But to answer your question, when we look forward, we're trying to normalize the maintenance cost and to have -- and see a lower maintenance cost in the future. The point we're working on is engine maintenance cost as always, where there is some work to be done still. But I think the overall story is, yes, we see that more normal maintenance costs moving forward as we have put the fleet back on track.
Operator: Our next question comes from [ Manuela Echavarria ] from Vinci Compass.
Unknown Analyst: Yes. Can you hear me?
Operator: Yes, we can.
Unknown Analyst: So my question is related to the CapEx. So I don't know if you maybe could provide some color on the CapEx levels you are seeing and what we can expect going forward?
Celso Ferrer: Thank you, Manuela. We -- this is the level of CapEx that we intend to keep. We are already like the way we built the overall CapEx for this year is, let's say, normalized spread through every quarter. So we are trying to concentrate more CapEx in one quarter than the other. So that's the level that we intend to show, that's reflecting the, let's say, all the backlog engines that we were addressing during the last 18 months basically and also to run the whole operation. So I don't foresee changes on the level of CapEx.
Julien Pascal Imbert: And just to complement also -- and just to complement also on CapEx, there is the FX effect also is quite important on CapEx. So on the variation, you may see a lower CapEx in Brazilian reais due to the lower USD.
Unknown Analyst: Okay. But maybe thinking about 2026 and going forward, do you still see like kind of this level of CapEx since -- like I don't know if I think when you start growing the fleet again, should I still expect this level of CapEx?
Julien Pascal Imbert: Yes, we should keep a similar level of CapEx moving forward and more of a -- although we're growing, it's more of a recurring operation that we'll have versus what we had last year and this year where we had to put back the fleet operational.
Unknown Analyst: Okay. That's clear. And maybe just a second question on my side is on leverage. So it seems you are deleveraging faster than you expected versus the initial plan out of the Chapter 11. So I was wondering if you have any like kind of new target plans going forward?
Julien Pascal Imbert: I would say, I mean, new target plan, the plan remains the same. If we can accelerate the plan is what we want to do. So we want to be delivering on the operation as planned and leverage any favorable macro environment that we may have to accelerate the plan. So this is what the team is focusing on. So we are seeing a better net leverage because the team is delivering because the environment is favorable. So it's accelerating the plan, I would say, but the target -- I mean, the long-term target remains the same.
Operator: Our next question comes from [ Chris Reidy ] from BNP.
Unknown Analyst: Great results. You really executed on every metric, which is pretty impressive considering you just got through a restructuring. Your last comment about accelerating the plan, it looks as though the capacity adds and the operating leverage is coming through a heck of a lot faster than at least I expected. Is -- are you getting capacity adds or deliveries or engines out of service faster? Or is it just an operational execution that's delivering this capacity and obviously, revenue and everything throughout?
Celso Ferrer: Chris, Celso here. Thank you for your kind words. And yes, as you said, like the execution has been well done. But I would highlight the unit revenue versus, let's say, the cost that we have, like the spread that we are creating and have been able to maintain a healthy unit revenue environment while we deploy the ASKs, while we deploy the network strategy. On the strategy itself, it's the same. What we have been doing is we have been adjusting the mix between domestic and international. We have 2 markets in the international flights that are still like underperforming versus what we had expected this year. One is Argentina due to all the volatility we have there and also the increase on the recently rumors about the potential shocks in the FX right there. So Argentina, I mean, we saw a great first beginning of the year and then a lot of airlines had a lot of capacity. We are flying with overcapacity at this point. So we are adjusting this in the third quarter and fourth quarter. And we are putting those planes back into the domestic, which is performing well. Like we are keeping the same ASK plan for 2025. No big changes from, let's say, the long-term projections so far. We are keeping, let's say, just small adjustments, like I said, on the mix. Domestic market is performing well. Like the -- I think the good news is that demand is resilient. I mean, both leisure and corporate has been responding very well to this new capacity. And the overall market is more disciplined on where to allocate capacity. In our case, we said this, and I want to reinforce, we are focused on places where GOL used to be very strong. So places like Rio is a real focus. Salvador has been a real focus, and most of our growth is concentrated in few bases where we have a network effect. As we grow, we create more connectivity, we create more connections and then we are able to increase load factors. We are flying with very healthy load factor. The whole industry is flying with healthy load factor, which gave us the opportunity to optimize unit revenue. So no big changes in the overall capacity. The fleet, it's still -- it's in the pace that we wanted in terms of the overall haul in the engines and also the deliveries that we had from Boeing was we took delivery of 1 aircraft more than the plan. Boeing is performing well now on the delivery side, but that's not a huge change, okay?
Unknown Analyst: Right. And so you increased the guidance for the year very rapidly after you exited. And we know that the supply-demand is exceptionally in your favor. Is most of the fourth quarter already booked from a ticket sales perspective?
Celso Ferrer: Yes. I mean we are now in the middle of the fourth quarter. So the [Audio Gap] range we had in our guidance. The fourth quarter usually is really big in the overall -- has a big weight on the overall annual results. And it's -- we have like November and December as the really strong months. As you know, we are having the COP30 in Brazil. We had Formula 1 in Brazil. All these events help a lot to -- and we are deploying capacity where we think the demand is. Like so for [indiscernible], for example, we increased -- we almost double the capacity short term to be able to offer flights and still the flights are full. So the demand is responding very well to these big events that we are having in Brazil right now. So December, if we perform as we performed last year, we are going to be achieving the high end of the guidance we gave you. So that's where we are putting ourselves right now.
Unknown Analyst: Great. One last question, if I may. You're having tremendous growth in Smiles, 25% growth in subscribers is kind of unheard of. What is attributable [ to it ]?
Celso Ferrer: Just a minute, Chris. Just a minute. Just let me take.
Julien Pascal Imbert: When you said 25% increase in subscribers...
Unknown Analyst: Yes, you opted like 29.6 million subscribers or members, I guess, you call.
Julien Pascal Imbert: Yes, yes. Okay. But versus last year.
Celso Ferrer: Yes. On redemptions on the Smiles...
Unknown Analyst: Yes, everything in the Smiles seems to be working far better than expected. I'm just wondering how -- what's that...
Celso Ferrer: I mean, since we incorporate Smiles, we have been focused on how can we have real synergies between, let's say, the GOL revenue management and Smiles. And that's -- that has been our target. What you can see here, especially on the redemptions is that we have been able to -- I mean, have the right price, the right seat allocation for the program and being able to grow as we grow the ASKs of the company. That's the main target. Clube Smiles is growing. I mean we have a big -- more than 1 million members, as you can see. And the concern we had with Smiles at this moment is only the Argentina market, which is the same concern I mentioned on the passenger side. It is also because of, I mean, all the uncertainty that I hope now it's going to be a little bit more stable environment. We are a little bit lagging behind on the international markets in the Smiles as well. But rather than that, domestic has been performing as good as it is.
Operator: Our next question comes from [indiscernible] from [ System OTIS ]. So I received the question in written form and it's, what about the Dow Jones IPO? My name is [ Clever ], and I'm an investor, and I believe in the [ food corporation journey ].
Manuel Irarrazaval: So maybe I can take that, Celso and Julien. This is Manuel Irarrazaval from ABRA. As we've announced or as we said in the recent days, we are working towards an IPO of ABRA, which should happen during the next year. And the basis for that is kind of given the strong performance that GOL has shown and the very good performance that Avianca is performing, we believe that the market is right to be able to do an IPO next year. So we're working towards that. That will be at the ABRA level and not at the GOL level.
Operator: [Operator Instructions] Our next question comes from Miranda Wei from ExodusPoint.
Miranda Wei: I just want to know what's the expectation for free cash flow in Q4? And then I have a follow-up.
Julien Pascal Imbert: Miranda, nice having you. So we'll not share a prospective view on free cash flow for Q4. I would say it's in line with what we've published in the past.
Miranda Wei: Understood. And I want to have a better understanding on the CapEx part. If I recall correctly, the plan laid out a CapEx that's roughly BRL 2.7 billion for the year. I think we're just at around BRL 1 billion year-to-date. And I understand there's FX movement. So if you could discuss in dollar terms on a normalized level, what is fleet CapEx and what is non-fleet CapEx?
Julien Pascal Imbert: Miranda, very good question. I think we'll get back to you on this one to have all the details, but I don't mix any numbers. But you're correct in saying that for the first 9 months, we're at BRL 1 billion, and there's a lot of FX. But let me get back to you on the specifics, okay?
Celso Ferrer: So if no more questions, I would like to thank you for joining the GOL earnings call today. And I want to thank you again to the whole team of Eagles, and have a great day. Thank you.
Operator: This does concludes GOL earnings conference call for the third quarter of 2025. We appreciate your participation and wish you a very good day.